Executives:  Doug Tough - Chairman & Chief Executive Officer  Nicolas Mirzayantz - Group President of Fragrances  Hernan Vaisman - Group President of Flavors
 : 
Analysts :  Mike Sison - KeyBanc Mark Astrachan - Stifel Nicolaus Mimi Noel - Sidoti & Company Jeffrey Zekauskas - JP Morgan
 : Richard O'Reilly - Standard & Poor's John Roberts - Buckingham Research 
 :
Operator: At this time, I would like to welcome everyone to the International Flavors & Fragrances’ second quarter 2010 earnings conference call. All participants will be on a listen-only mode until the formal question-and-answer portion of the call. Participants will be announced by their name and company. In order to give all participants an opportunity to ask their question, we request and limit of one question per person. I would now like to introduce Michael DeVeau, Investor Relations Manager. You may begin.
Michael DeVeau: Thank you, operator, and thanks everyone for joining us this morning. With me on the call today is our Chairman and CEO, Doug Tough; our Group President of Fragrances, Nicolas Mirzayantz; our Group President of Flavors, Hernan Vaisman; and our Executive Vice President and CFO, Kevin Berryman. Please note that this call will be recorded and will be available for playback on our website. Please keep in mind that during this call, we may make some forward-looking statements about the company’s performance, particularly with respect to the second half of 2010. These statements are based on how we see things today and may contain some elements of uncertainty.  For additional information concerning factors that can cause actual results to differ materially from forward-looking statements, I ask you to refer to the cautionary statements and risk factors contained in today’s earnings release and on IFF’s website.  Some of today's prepared remarks will exclude those items that affect comparability. These items are laid out in our non-GAAP reconciliation, which is also available under the Investor Relations section of our website. With that, I’d like to choose, Doug.
Doug Tough: Thank you, Michael. Good morning and good afternoon to everyone. Before moving on to discuss our Q2 results, I would like to update you on one of the priorities we discussed on our Q1 conference call. Since joining IFF full time back in early March, we’ve begun to pressure test our current strategies and our business model to ensure we are operating to the best of our ability. As a part of this review, we have engaged a strategic consultant to aid us with the process. While we are still in the initial phases, gathering data and understanding the complex dynamics, we believe we are working towards an optimum path that will lead to greater shareholder value. We are thoroughly examining our regions, our categories and our customers relative to the drivers of our current and future levels of profitability.  Specifically, we are looking to optimize our resources to ensure we are putting emphasis where we will get the best overall return. We are evaluating the relative levels of human and capital resources that are required to deliver our current results. Perhaps, but not surprisingly, we have discovered very different performance results whereas some categories, some customers and regions are creating much better returns than others. Please note, however that much work still needs to be done. My expectation is this project will continue throughout the balance of this year. We will do our best to keep you informed of our progress and how these results will lead to even greater financial performance that in turn will drive further shareholder value. I can assure you this is the highest internal initiative at IFF and I am pleased with the efforts and the progress made thus far by the entire organization.  Returning to our second quarter results, I would like to note some key non-financial accomplishments that I believe will position us well in the future. First, in Flavors, I’m happy to report that we have been selected as a global core supplier for a multinational flavor customer making us one of only three suppliers on that coveted list.  This is great news for IFF and speaks volumes about its customers trust and our ability to deliver quality; innovative products that help them differentiate their brands in the marketplace. Adding to our portfolio of health and wellness solutions is our newly signed licensing agreement with Redpoint Bio, developers of an all-natural sweetness enhancer derived from stevia that will be exclusively ours for five years. The addition of this product will enable us to offer our customers more natural solutions to reduce sugar products.  We also like to mention that the Fragrance team once again showed that IFF is a stock leader in looking to the future of Fragrance as they demonstrated in their well-received Headspace symposium presented earlier this year in concert with Museum of Modern Art and the Parsons School of Design.  For those of you who do not know the Headspace symposium gathers leading thinkers, designers, scientists, artists and established perfumers to challenge the conception, impact and potential applications of scent by exploring new territory for design. Opportunities such as these are great ways to think outside the box leading to the key innovations so necessary to our business.  While the rest of the IFF senior team will take you through the full details of our Q2 performance, I’ll provide a few high-level comments. It is clear that the strong momentum we experienced in the beginning of the year continued into the second quarter.  While we have benefited from restocking and favorable comparisons against the soft-based period, the team was successful in winning key new business that helped drive this record top-line performance. This growth in the top line alongside our continued focus on cost and productivity supported a strong improvement in the operating profit margin. The end result was very positive. Adjusted EPF increased 31% year-over-year. Finally before passing on to Nicolas, who will provide further context surrounding fragrances Q2 results, I would like to acknowledge our global supply chain and manufacturing team. With so much activity in both Flavors and Fragrances, you might deduce that the strong volume would cause a strain on our supply chain and you would be correct. We experienced unanticipated demand, which was taxing our manufacturing plants and material sourcing.  Despite that substantial increase in demand, I’m happy to report we kept up our service levels to our customers. The supply chain and manufacturing team have risen to the challenge and upheld our excellent customer service levels.  Once Nicolas, Hernan and Kevin conclude their prepared remarks, I will come back to provide some perspectives on the future and our outlook for the balance of this year. With that, I would like to introduce our Group President of Fragrances, Nicolas Mirzayantz. 
Nicolas Mirzayantz: Thank you, Doug, and good morning and good afternoon everyone. I’m happy to report that local currency sales in the second quarter increased 23%, one of our highest achievements in company history. As all categories, all regions and all customer segments on a concreted basis, we reported double digit growth.  Our very strong performance was driven by the team’s ability to execute against the key strategic initiatives developed two years ago, as well as their ability to win important new business.  In the Fine Fragrance and Beauty Care category, local currency sales grew 37%. Robust trends in Fine Fragrance continued growing at a strong double-digit rate as their ability to secure many of the key 2010 launches drove results.  While new business gains did help support a very strong Fine Fragrance results, it is important to note that a portion of this improvement can be attributed to weak prior-year comparables as well as some elements of restocking. Despite these benefits, I am confident that we should continue to perform well as strong new business wins should provide a solid foundation for future growth.  In Beauty Care, Hair Care and Toiletries continued to perform very well, both increasing at a strong double-digit rate. We continued to win important new business that has strengthened our leadership position across all our global and regional customers and I believe many solid opportunities still exist. Our Functional Fragrance business continued to grow double digits increasing 12% despite a more challenging year-over-year comparable. Fabric Care performance remains strong as key new wins in Europe, Greater Asia and Latin America aided results. In Home Care, we have a seen a return to growth following a challenging 2009 as we continue to benefit from the addition of an important [core lease] two years ago. In Personal Wash, solid growth was achieved despite a strong 2009 comparable. Our excellent performance in Functional Fragrance continues to reflect our strategic investment in innovation, in particular with our microencapsulation technology. In the second quarter, this technology represented large component of our growth and was one of the driving force of all those market growth levels. Finally, Fragrance Ingredient’s local currency sales increased 24%, driven by a favorable comparison versus a year-ago period as well as improvements in underlying demand. Looking at the geographic breakdown of our sales, I am very pleased with our performance across all regions.  In the developed markets of Europe and North America, we experienced very strong double-digit growth of 29% and 19% respectively driven by new wins and volume growth. Complementing the success, the strong trends seen in the emerging market of the previous four quarters have continued.  Brazil, Russia, India and China all continue to show double-digit growth driven by new win performance and increased demand from both global and regional customers. As a result, we enjoyed a growth of 19% in Asia and 18% in Latin America. Operating profit increased by $28 million to $65 million, including approximately $2 million related to ongoing restructuring efforts in Europe as compared to $5 million related to restructuring charges in the prior-year period. Excluding these items, adjusted operating profit grew nearly 60% or $25 million to $67 million as higher volumes, improving input cost and benefits from previous cost reduction initiatives drove results.  Adjusted operating profit margin for the quarter increased 430 basis points to 18.6%, a level we have not seen in nearly five years. As we enter the second half, we have started the quarter with good momentum. It is important to know, however that we expect the benefits of restructuring to slow.  In addition, as we face stronger prior-year comparisons, we do expect local currency sales in the second half to be lower than the first half as a strong performance in both Q1 and Q2 is not sustainable. Nevertheless, we believe our strong pipeline of new business should continue to position us well as we advance in the third quarter. I would now like to turn the call over to our Group President of Flavors, Hernan Vaisman, who will provide an update on the flavor business.
Hernan Vaisman: Thank you, Nicolas. We are pleased to say that local currency sales in the second quarter increased 7% over the comparative 2009 period marking the 20th consecutive quarter of local currency flow. Strong trends [Inaudible] continued as increased volume and new business win once again led to double-digit growth. In North America, local currency sales returned to positive growth increasing 7% as our team did an excellent job working with our customers to win new business. Specifically a double-digit performance in both confectionary and beverage were impressive and gave us confidence that we look to increase market share opportunity.  In EAME, local currency sales increased 18% over the prior-year quarter as Flavors categories reported double-digit growth. The beverage category continues to be a standout as new win and stronger volume are driving results. This month, the third consecutive quarter of double-digit growth of this category returning emerging market of Eastern Europe and the Middle East grew 25% plus while the developed market of Western Europe grew in the high teens.  States in Latin America were once again positive growing 4% as new business and volume recovery in savory, confectionary and dairy offset the loss of non-strategic business that began in the third quarter of 2009. Please note it is our final comparison that includes the loss of non-strategic business. So we expect growth to accelerate in the second half as a result of critical wins in key categories. Lastly, in Greater Asia, local currency sales were up 12% as all category reported positive results. Recent momentum of our business in most Asian countries contributed substantially to the double-digit growth in this important part of the world. This was fueled by higher volumes and new wins across all categories.  The Flavors team continues to do an excellent job capitalizing on new business opportunities to drive above market growth. While I am happy to report our highest sales growth in company history, what I am most proud of is our performance across all regions and all categories. Turning to profit, Flavors operating profit increased 18% or $10 million to $60 million in the second quarter. This increase was driven by accelerated sales growth, improved input cost and our continued margin improvement initiatives.  As a result, operating profit margin improved 100 basis points to 21.2% versus 20.2% in the prior-year period. While we are early in Q3, we have started the quarter with solid momentum. Our project pipeline remains very healthy and I believe we are in a good shape to continue our track record of local currency sales growth as we move into the second half of the year. With that, I would like to turn the call over to Kevin.
Kevin Berryman: Thanks Hernan. On our Q1 conference call, I highlighted four key trends that we expect to see in 2010. I would like to update you on how we are progressing in these areas. First, we communicated that we expect local currency sales to trend above our long-term growth targets, with relative strength in the second quarter driven by favorable prior-year comparison. This indeed has happened with each of the business that we are able to realize substantial improvement in Q2. Second, we highlighted that we would see an improving input cost structure. Specifically, slower input cost combined with our accelerated sales performance allowed us to improve gross margin by 270 basis points, over the prior-year period to 42.8%. Our continued focus on cost discipline helped mitigate some higher than normal RSA cost, most notably incremental incentive compensation provisions, as we delivered 90 basis points of adjusted operating margin improvement finishing the quarter at 16.5%. As a result, adjusted EPS for the second quarter increased 31% year-over-year to $0.85 per share. Looking at our local currency sales trends over the past five quarters, I’d like to note that all categories in Q2 are showing double-digit growth. However, restocking and favorable comparison in Fine Fragrance and Ingredients certainly aided results. As we enter the second half, it is important to note that the benefits of restocking appeared to be subsiding. When combined with stronger prior-year comparisons, the continued economic volatility, we expect local currency sales growth in the second half to grow on more normalized levels with relative strength in Q3 versus Q4. Turning to input cost, we continued to see period-over-period decreases in the P&L driven by a reduction of higher cost inventory. As expected, input cost represented a 7% decrease in the second quarter. Looking ahead, we believe input cost should remain favorable for the full year, although the selective pressure in the second half may reduce the rate of favorability for the full year. Specifically, fluctuations in oil prices could place pressure on some oil-related materials and freight surcharges. While we are experiencing benefits in 2010, I would like to remind you all that our overall input cost position remain above historical level. From an overhead cost standpoint, RSA has a percentage of sales increased 160 basis points to 26.3%. The $35 million increase is mainly attributable to additional incentive compensation provisions of $18 million, plus litigation-related costs, investments and spending to support the higher level of business activity, reduction of R&D credits, unfavorable foreign currency movements and lower prior-period based spending.  It should be noted that included in our RSA expense this quarter is roughly 250 basis point of expense versus what we consider more normalized levels. This increase can be attributed to additional incentive compensational provisions above normalized levels, obviously driven by a very strong performance in Q2 as well as additional litigation-related cost. As our top-line performance returns to more normalized levels, we believe our cost structure will fall. Within RSA, R&D expense, as a percentage of sales, increased 60 basis points to 8.4% driven by incremental incentive compensation provisions, a reduction in R&D credits and incremental investments in support of our strategic growth initiatives. Looking towards the second half, we will continue to maintain strict discipline in the management of our fixed cost structure. If our performance is similar to the performance experienced in the first half, we would expect, however additional cost associated with compensation provisions. Moving to currency, while the Euro devalued against the U.S. dollar during Q2, the negative impact on our P&L was largely offset by the strengthening of other currencies. In the past, we have said that for every 1.1% strengthening or weakening of the US dollar we expect a plus or minus $0.02 impact on our EPS on an annual basis. Please note that this can vary depending upon the mix of currencies and balance sheet impacts that are driven by point and time translation factors. The exact impact depends upon the consistency of the change across the major currencies in which we operate. Looking ahead, the currency rates stay where they are today including the Euro at 132. We expect to face modest pressure on the second half of 2010. As we have communicated on our Q1 conference call, the evaluated cost provision strategy that provide for decreased volatility in this area. We have begun to implement these strategies and we believe that volatility should be reduced as we begin to enter the fourth quarter. Nevertheless, at current rates, we still believe that the above-mentioned currency role should be directionally accurate in Q3 and Q4 of 2010. Turning to our EPS reconciliation that’s highlighted on the slide, we continue to see improved performance, including the abnormally high levels of incentive compensation provisions on legal-related cost previously noted, adjusted EPS still improved $0.20 or 31% versus the year-ago period.  As we move from our adjusted EPS to our reported EPS, I would like to note that the $0.02 difference is entirely related to our previously announced European rationalization. As a reminder, to date we have recorded $20 million provision of which $2 million was recorded in this quarter. We now expect our total cost for this initiative to be approximately $31 million to $34 million with targeted annual cost savings of $17 million to $20 million annually, beginning in 2011. From a cash flow perspective, we continue to make improvements in working capital efficiency. As a result, a large component of our success in the second quarter came from our ability to better manage our receivables and payables. This improved efficiency combined with the relative business strength in the quarter drove $40 million increase year-over-year in cash flow from operation.  As a result of the cash flow dynamic and the confidence in our long-term outlook, our board of directors authorized an increase in the company’s quarterly cash dividend raising it 8% from $0.25 to $0.27. This marks the fifth increase in six years that the board has raised the dividend and reports our continued commitment to return cash to shareholders. One point regarding our capital expenditures, we are, we believe on track with our goal, we are approximately spending 4% of sales for the year. With that, I would like to turn it back over to Doug for a perspective on the balance of the year.
Doug Tough: Thank you, Kevin. Looking towards the balance of the year, we believe that the operating environment in the second half is likely to be different than what we have seen in the first two quarters. In particular, we expect to face more challenging comparables as our sales performance improved during the second half of 2009, i.e., last year.  In addition, while it’s difficult to say to what extent our first half performance was aided by restocking, it is clear that this benefit will not continue indefinitely as we progress through the balance of 2010. As we begin Q3, while business momentum appears solid driven by our strong new win performance, with substandard restocking benefits that aided Q1 and Q2 would appear to be subsiding.  Finally, as economic and political volatility around the globe remains, we expect currencies to continue to fluctuate. As a large portion of our results are denominated in Euros, this will represent a head win during the second half of 2010 at current exchange rates when compared to year ago. That said, as Kevin mentioned current hedging strategy should begin to reduce the volatility later in the year. So, what does all this mean? In order for IFF to be successful, we must continue to executive our plans, anticipate challenges and win in the marketplace every day. We will focus on the areas we can control and will continue to be disciplined in the management cost as we look to mitigate some of these external pressures. The net result is that while we are cautious in our outlook, we believe the strength of the first half combined with our disciplined approach in the second will allow us to deliver results that have not been achieved over the last decade. Specifically, we should see our local currency sales finish this year well above our long-term target and EPS will grow at a strong double-digit rate. In summary, as we reflect back on the first six months of 2010, I would like to take a moment and congratulate the entire IFF team for all their accomplishments. Our performance year-to-date has been very strong driven in large part by the hard work and dedication across the organization. We would not have been able to achieve these strong financial improvements without excellent contributions from our employees. Suffice to say, our Board were complimentary to the organization on the breadth and the depth of the results. As we look forward to the next six months, we continue to remain cautiously optimistic. While we have entered the second half with solid momentum, our visibility through the balance of the year remains limited given the evolving landscape particularly in developed markets. In addition, as the restocking phenomenon must debate, we believe that the progress achieved in the first half, new wins in particular should continue to drive our disciplined growth strategy, and we are further exited about our growth prospects flowing out of our intensive strategy development project currently underway.  Our goal entering 2010 was to return to local currency sales growth and improve our overall profitability. While we are only six months into the year, we are confident we should surpass these initial goals and achieve results above our long-term targets. And with that, we will be happy to take any questions that you may have. Thank you.
Operator: (Operator Instructions) Your first question is from the line of Jeffrey Zekauskas with JP Morgan.
Unidentified Participant : I have a couple of questions. Sales growth in the quarter, well for the first six months has been noticeably better versus your competitors and to some extent even versus some of your customers. I guess if you look, particular European customers, if you look at Unilever or others, what do you attribute this to?
Doug Tough : Well we think there are really a number of factors there and the performance has been strong, as you have noted. We touched really upon a weak base year ago when there was destocking and hence we would see some restocking that’s happening now. We think we have also had a level of overall improved performance by our customers, though not the level that we have achieved as you mentioned, and lastly obviously a significant number of product wins and category wins in both Flavors and Fragrances.  I view those as top-line comments and invite Hernan or Nicolas to add anything.
Doug Tough : Thank you, Doug. I think that of course in the growth we see some elements of restocking after our comparison, but also I mean this performance can be attributed to solid wins that we have as I mentioned, in almost all regions and category.
Unidentified Participant : Is the restocking component about like half of the organic growth that you saw and how did prices do for the quarter?
Kevin Berryman:  This is Kevin, good morning. We talked about an overall picture as it relates to what volume and/or commercial performance looked like and you will note in the Q that there is a discussion of on a global basis; consolidated basis roughly 40% of the growth was associated with new wins, commercial performance. Of course, that then results in there being a remaining 60%. There is some element of restocking in there. We do not know what it is, but certainly there was some element of it. 
Unidentified Participant : That’s helpful, and if I can ask a last question. Also the company has done an excellent job in benefiting, I got some higher margin as volume growth has been very strong and raw material cost has been favorable, are these current margin levels sustainable as the volume growth moderates?
Kevin Berryman:  This is Kevin again. I think that clearly we realized some benefits in the quarter in terms of growth leverage against our manufacturing infrastructure, and I think certainly that has provided some benefit, specifically in this quarter. I would also remind you, however as it relates to the future in that our European rationalization and restructuring initiative, which basically will be completed, we believe will continue to believe by the end of this year that will translate into incremental margin opportunities in 2011.  So, there is some ability to continue to drive improvements which will help offset perhaps some of the loss we’ll get because of this extraordinary level of growth.
Unidentified Participant : So, if I understood correct, what you said is that you believe that margin levels are sustainable given that there are more restructuring benefits going forward?
Kevin Berryman:  Yes.
Unidentified Participant : That’s very helpful and thanks very much. I’ll get back into queue.
Operator: Your next question is from the line of Mike Sison with KeyBanc.
Mike Sison – KeyBanc: Hi guys, nice quarter. In terms of the new product wins at 40% of the growth of the second quarter, Kevin, that’s sort of would imply 6% to 7% type growth, any reason why that would at minimum be the run rate for the second half of the year? Are some of the new wins growing off?
Kevin Berryman: Clearly, perhaps I’ll take a stab at it and then turn it over to anyone else that would like to have some additional comments made. Clearly, we saw very good strong commercial performance in the fist half of the year and of course the benefits to the extent that it was the first quarter, our pipeline sales relative to these items that will bode well for the future, but some of those new wins will be rolling off versus year-ago comparable.  So, we don’t comment on openly what that looks like going forward, but we are certainly happy with the performance in the first half and certainly we feel good about how we started the third quarter. 
Mike Sison – KeyBanc:
 :
Nicolas Mirzayantz: Hi Mike, good morning. How are you? Regarding the market, we know that it’s right in a mixed performance across all the regions, with probably a small performance in Europe and Latin America versus North America. We are not seeing the market growing at the level where we are growing at the moment. So, as we were explaining, we were both enjoying the effect of restocking some easier comparables but also strong pipeline of new wins.  So, we feel that going forward, we are not going to be able to enjoy that as much as restocking effect, both at the customer and retailers, but we feel confident with the pipeline of new wins moving forward. And regarding your questions, we are back at the level prior to the crisis.
Mike Sison – KeyBanc: Okay. And then, last one for you, Doug, you’ve really only been around since March early in depth here, but when you think about the long-term goals. Any thoughts there, is it conservative, is there opportunities to do better than those longer term? Just your thoughts on those longer-term goals that were set sort of previously?
Doug Tough: Sure, and I think they are compelling goals as they sit now, Mike. I guess in the context of the current environment, we have only touched upon their long-term goals for this fiscal year, we would expect to beat those goals with the exception of the operating margin number, but sales and EPS we should beat them.  I think the real answer to your question hinges upon the deliberation that the management group will have with the board late this year, this calendar year of surrounding the strategy work that’s going on.  It is such a comprehensive review that’s being undertaken of the company and it’s businesses, regions, customers, categories and so on that we will help with recommendations, will recommendations suggest a retention as the existing financial metrics or raise them or lower them, all that is yet to be played.  I realistically don’t think anything, but equal or better are options and I’m confident we can do that. As you go through review that we have, it’s shown many, many parts the business are very successful, but as you probably expect review also identifies areas for improvement and that is what we are investigating and if those improvements can be delivered in a cost effective manner for the shareholders, then that would suggest a revision to the goals, but that is premature at this point. 
Mike Sison – KeyBanc: Great, thank you.
Operator: Your next question is from the line of Mark Astrachan with Stifel Nicolaus.
Mark Astrachan – Stifel Nicolaus: Hey, good morning everyone. Doug, just first off following up on that last question on the strategic review, just curious of your thought process on undertaking that meeting and did you suspect that there were some things that could be done better, some stones to overturn so to speak or suboptimal levels of operations, and certain aspects of the business that you thought potentially could have been improved upon.  I mean, just give us a little bit of background if you would on why you decided to do that as you began your time at the company.  Doug Tough
Doug Tough : Sure. Well, I think the primary goal was really to establish a fundamental foundation of an operation and in past companies have done things similarly really to get more than anecdotal information, but a grounded fact base and coming out of 2009, where lots of companies were destabilized and while IFF was not destabilized compared to others, we certainly took a few blows. 
 : So, yes, I didn’t have any suspicions that things were really adrift, the company is very strong, the management base is very strong, I was thrilled to join the company, but it is natural to assume there are opportunities and the work not surprisingly is identifying some pockets of brilliance with the company that we should maximize and some opportunities for improvement. 
Mark Astrachan – Stifel Nicolaus: Okay, great. And then somewhat relatedly, the cash flows are definitely being generated a better rate than a year ago and you are doing a good job of paying off the debt, just curious about what your views are on the optimal capital structure including potential uses of that cash beyond just buybacks and dividends and whether you would look to make some acquisitions, and if so what sort of criteria might you be looking at?
Kevin Berryman: Good morning, Mark, this is Kevin. I’ll jump in, I think that we’ve talked historically about our dividend payoff ratio and we’re still sticking to those general levels that we’ve communicated in the past in terms of returning capital to shareholders.  I think that pending our review on the strategy project that will determine ultimately what perspectives we will have going forward as it relates to any potential change or continuation of the existing policies and the lease that we have as it relates to those returning of cash to shareholders.  I would say that clearly the past has indicated a willingness to return capital to shareholders and certainly our cash flows suggest that there is an ability to do that and I think the fact that the board approves the dividend even with the context of our strategic review going on, they knew that and had comfort as it relates to the strong capabilities of the company to generate cash and still be able to provide a dividend with that strong cash flow and potentially invest behind any growth opportunity, whether they’d be internal or external. 
Mark Astrachan – Stifel Nicolaus: And just finally on the operating margin that you alluded to it a little bit, Kevin 18% is the longer-term target out there and clearly you’re doing a good job of increasing the operating margin and doesn’t factor in any of the rationalization in Europe. So just curios how you’re thinking about those opportunities and targets longer term?
Kevin Berryman: Well, I think it will be dependent again as, Doug suggested a little bit on our strategic review that we are in the midst of working on right now. I think that we’ve said that the 18% is in itself a good target to beat, to going after and that there are potential opportunities to even go beyond that.  But, I would hesitate to suggest that we’re going to change anything at this point in time until we get to a place where we’re very clear on, the investment that we may want to be making in terms of potential future growth opportunities.  So, I think we’re making good progress, we believe that there is an ability to drive margin enhancement and support growth, and that’s what we are going to continue to try and do in the interim. 
Mark Astrachan – Stifel Nicolaus: Great, thanks everybody, and congrats on the nice quarter.
Doug Tough:  Thank you.
Kevin Berryman:  Thank you.
Operator: Your next question is from the line of Mimi Noel with Sidoti & Company.
Mimi Noel – Sidoti & Company: Good morning. It’s actually Mimi Noel. Forgive me, if you’ve already covered this, I’m juggling a few things this morning, but just would care for your insight on major consumer products manufacturers similarly pushing more for market share than they are for product innovation, at least in certain markets. How does that affect your business or what is your perspective on that outlook?
Doug Tough : Well, I mean our goal is to supply customers, whether it’s innovation or ongoing formula and that’s what we are doing. Certainly we will always be leading our customers to a degree with a view to the benefits we get from our consumer insight group and pointing out opportunities for product innovation for those customers.  So it’s a collaborative approach and certainly one of the things we will always be doing is considering the investment in the new product activity and innovation and we worked with our partners to look for profitable opportunity.  Right now, we have seen some cutback from that and look for just ongoing evolution in the formula.
Mimi Noel - Sidoti & Company: I would assume that the economics for more innovative products are more favorable than ongoing formula. 
Doug Tough : It can depend, I mean obviously innovation is something that we put a lot of effort into it, the product is successful in the marketplace, the long-term margin can be good, but they are not all successful.
Mimi Noel – Sidoti & Company: Okay. That’s all I have for the time being. Thank you very much.
Operator: (Operator Instructions) We have a follow-up from the line of Jeff Zekauskas with JP Morgan.
Jeffrey Zekauskas – JP Morgan: Yes, just a couple of housekeeping questions. What is the amount of sales and profit, if any that you expect from the Redpoint licensing agreement? And can you clarify again what this five-year agreement is. Is it an exclusive agreement or is it exclusive just in one area or related to sweetness?
Hernan Vaisman: At this point in time, we cannot preside exactly what will be the revenue stream that we will have. This is your first question. The other one is exclusivity on certain food and beverage categories for the five years.
Jeffrey Zekauskas – JP Morgan: So, it’s on specific food and beverage categories?
Hernan Vaisman: Yes.
Jeffrey Zekauskas – JP Morgan: Can you comment on which one, or is it confidential?
Hernan Vaisman: I prefer not to disclose this information.
Jeffrey Zekauskas – JP Morgan: Okay. Secondly, what is the magnitude of the legal expenses in the quarter and are those related to stills like the [Butter Flavor]? And I was wondering whether it’s just like a really short update on, as to like how that is going and maybe how many pending cases there are at this point?
Kevin Berryman: We don’t really talk a lot or disclose the specifics associated with, the variety of things that are currently in the works, but I would go back again and talk to the fact that in the quarter, I commented on that there were 250 basis points roughly of incremental costs that were incorporated into our results in RSA relative to abnormally high levels of cost.  Certainly that number would be included in that figure. So, at this particular point in time, we are not going to disclose or talk further than that, but we believe that we’ve made provisions that are appropriate relative to any particular facts that we have at this point in time.
Jeffrey Zekauskas – JP Morgan: Okay. And the last one again is of like a housekeeping item. Can you just clarify what the nature of the accounting restatements are, and that is I think early there was some restatements made to more some R&D tax credits from the tax line back into R&D and now that I get more restatements, like what’s the nature of these?
Doug Tough : Effectively, there was a determination last year that it was appropriate to take some of these credits up into operating expenses. It’s a pretty sizeable number in the back half of 2009 and we commented that if we had treated those credits, similarly through the balance of 2009, it would have had a must impactful change in terms of the first half of 2009. So, we are now comparing versus those kinds of restated figures.  It’s not a material number in the second quarter. I’d have to go back and see exactly what it is, but it is not a material number in the second quarter of 2010, but it is effectively, will potentially be a larger number in the second half because we had some big credits in the second half of 2009 which will not be duplicated to the same extent in the second half of 2010. 
Jeffrey Zekauskas – JP Morgan: And our amortization expenses now rolled into SG&A expenses?
Michael DeVeau: It’s okay, that’s Michael. We did actually just collapse it in there just for presentation purposes, but consistent with previous years. 
Jeffrey Zekauskas – JP Morgan: Okay. That’s all I have. Thanks very much. 
Operator: Your next question is from the line of Erik Sjogren with Morgan Stanley.
Erik Sjogren - Morgan Stanley: This is Erik here from Morgan Stanley. A couple of questions; the first is I mean many of your customers within staples are talking about difficulties in raising prices, even though raw material costs are coming up. Is this something that you’ve been seeing in your discussions with them or are they leaning on you perhaps for price release as their own cost start to come up?  Secondly, just a general comment on the brief pipeline, how it’s been developing and obviously you’ve had a very good win rate, but in general are the briefs still coming through at the same rates and the kind of scale of the brief, is it similar? Then finally, when you review the Flavors division, you mentioned beverages as a standout area. Could you give us a bit more color on what has been driving that? Is there some specific part within beverages? And also, I mean we’ve had a very warm summer here in Europe, is there a seasonal impact here in the second quarter? Thanks.
Nicolas Mirzayantz : Hi Erik, Nicolas. I will answer the second question regarding the pipeline of new projects and I think Hernan can include a sample. We are still seeing still a solid foundation and strong pipeline of new products coming in. So we are not seeing any slowdown in that respect, if not actually an increase. 
Hernan Vaisman: Hi Erik, how you’re doing? Following the first question, it’s the same as in Fragrances, we really see very strong pipeline. We haven’t seen any kind of reductions and regarding your question in beverage; I mean we have seen new wins.  Of course, you have some, I mean restocking element, but we have very good wins, strong, wins in Europe and other regions, basically because we have improved our brand portfolio and giving the right value proposition to the customers.
Kevin Berryman: And on the pricing comment, and then I’ll invite Nicolas and Hernan. I mean, there is always an ongoing degree of tension with that “in negotiations,” the customer is looking for the best possible price and we have to deliver that. I would come back to innovation comment that in the context of a continued look for innovation and if we can bring superior innovation in the health and wellness series, in particular there are opportunities for pricing improvements. But, the flip side is also the ongoing negotiations that we have with our suppliers and looking for efficiencies and gains as well. So, we are a part of that value chain and look for as many efficiencies as we can get even as customers ask us for some. 
Erik Sjogren - Morgan Stanley:  Great, thank you very much for that.
Operator: Your next question is from the line of Richard O'Reilly with Standard & Poor's. 
Richard O'Reilly - Standard & Poor's: Good morning, gentlemen, thank you. I want to get back to the new business contribution, the 40%. I think this is a number that you just started to disclose at least that I can see. How does the rate of 40%; how does that compare with the more traditional historical level, because it just strikes me as a very large percentage?
Kevin Berryman: Richard, this is Kevin. We have reported this number in the past and as both Hernan and Nicolas have suggested, it’s a strong level of performance.
Richard O'Reilly - Standard & Poor's: Okay, fine. And this is a simpler question; I am not a consumer products analyst. I am just wondering what categories are growing, what can I see in the supermarket or in a retail store that would give me an idea where the business is coming from? I know you don’t talk about customers per se, but I was just wondering what categories you could point to?
Kevin Berryman: I think Richard, if you were to take a look at the recently reported numbers of our customers, you would see in general that there has been some up-tick in volume versus kind of prior-year period as they have attempted to, let’s say alter their mix of growth. It was very largely price driven two or three years ago and they are focused now on trying to drive a little bit more value and volume into their portfolio.  So, I would say in general there is an up-tick in volume from our customers across the board. I don’t know that we would comment specifically on specific categories, but I think that that’s a general rule that you can look at and get a perspective on how that’s impacting certainly.
Richard O'Reilly - Standard & Poor's: Okay, thank you then.
Operator: Your next question comes from the line of John Roberts with Buckingham Research.
John Roberts – Buckingham Research: Good morning, guys. Can you hear me okay? 
Kevin Berryman : Just, fine.
John Roberts – Buckingham Research: It may be just my perception, but it seems like governments are stepping up their attack on calories and salt, and you got initiatives to try put taxes on high-caloric beverages or maybe labeling requirements coming down around salt.  Do you think the amount of briefs in the food and beverage area are going to accelerate as your customers try to formulate to position their portfolios around some of these, it seems like it’s an acceleration or step change and we’ve got this going on for a long time, but you see it in papers more these days.
Hernan Vaisman: Yes, this is Hernan, I mean definitely we see an upside in this trend and Doug mentioned about this agreement, we have is mainly aiming to provide ourselves with a better portfolio to capture this market that is really growing and it will growing faster.  I could say that the big bulk of our efforts in R&D and creations are exactly, I mean, addressing these issues and how to replace sugar, how to reduce salt in all our customer products.
John Roberts – Buckingham Research: Because, I think if you strip out the restocking effect, food and beverage area has outperformed the fragrance area for a little long now and I’m wondering whether that’s sustainable, that we ought to think about food and beverage, which I think maybe historically been due to this may be more starchy and so forth. There is possibly a more dynamic area in the next couple of years.
Doug Tough : I think they are both, frankly still remains very attractive. I think your point on flavors over the recent period of outstripping fragrance is bona fide and some of that is obviously the difficulties of year ago in the more discretionary fragrance category, fine in particular.  But as we look at the world, and look at the world where our customers are going both innovation and opportunities in mature and developed markets, but particularly the emerging markets and more and more of the world wanting to get into the products provided by the customers that we serve and hence we are part of that value chain, and we still see both businesses as very attractive.  That’s being further cemented as we go through our strategic review on the future outlook, but fundamentally both products provided in fragrances, fine and functionality foods and flavors look to be very attractive markets for us.
John Roberts – Buckingham Research: Doug, you are like the parent that’s asked which child they like better.
Doug Tough : With four children, I have to be very good with that.
John Roberts – Buckingham Research:  Okay, thanks.
Operator: You have a follow-up from the line of Mimi Noel with Sidoti & Company
Mimi Noel - Sidoti & Company: Thank you. Just one more quick question, Kevin and Doug. If you wouldn’t mind expanding a little bit on your thoughts on your supply chain right now, clearly your staff rose to the occasion, but what sort of constraints do you see beyond just IFF’s internals? 
Doug Tough : Help me understand the last part of that question a little bit more please.
Mimi Noel - Sidoti & Company: Sure, sure. What sort of constraints do you see beyond, in looking at your supply chain, what are some external pressures that you’ve had to offset?
Kevin Berryman: I think one thing that certainly has been a challenge in the first half is access to materials. When you are growing at the kind of levels that we’ve had, the supply chain organization did a really great job in ensuring that we had access to materials, and I think that that’s a tribute to the flexibility and dynamic nature of this company to be able to react very quickly to ensure that we were able to continue to provide the service levels to our customers. So, I think that that’s been one element. I think longer term we have to make sure that we have the capacities and the ability to satisfy what we consider to be some growth opportunities, and certainly those growth opportunities in the emerging markets.
Mimi Noel - Sidoti & Company: Are you seeing any areas of cost inflation in your supply chain? I mean, I know you mentioned oil by way of examples, but do you have anything more concrete?
Kevin Berryman: No, we’ll not talk any more details on that. As you know, Mimi we have a very, very dispersed set of materials that we use in the manufacturing of our portfolio products to the customers. So, there is always pluses and minuses within that, but because it is so disperse, it really is, I wouldn’t’ be able to tell you specifically we are focused on this and that, gives you an indication.  I would say that in general as suggested, we continue to believe that we will see some reductions over the balance of the year, not at the rate that we’ve seen in the first half perhaps but we’ll end up still down for the year in 2010.
Mimi Noel - Sidoti & Company: Sure, and I do have one or two more residual questions. When you look at that18% operating margin target, is the timeframe given the progress that you’ve made henceforth, is that timeframe condensed at all given the first half progress or what is the legacy time horizon for that 18% target?
Kevin Berryman: I would say, Mimi that a lot of that is dependent upon the work that we are doing right now as it relates to our strategies. I do believe that we have the ability to enhance our margins longer term and the timing associated with that will be determined to some extent by any investments that we want to consider. So, clearly as Doug suggested, that business is usual as right now and will continue to drive some margin enhancements and then more to come as it relates to any new insights that will begin relative to our strategic review.
Mimi Noel - Sidoti & Company: And the result of this strategic review would be available to investors at year-end or early 2011? When do you think we might have the insight on that? 
Doug Tough : Well, I think the perspectives that we would be prepared to share will be available towards the end of the year, but I would just reiterate that we’ll be prepared to share. It’s a very significant undertaking with the board which well we are part way into the process, there are a number of what if scenarios that could emerge to build on something that Kevin just said about the margin enhancements, that will be after good discussions with the Board about the propensity to invest significantly in future growth., While we may know that internally, we wouldn’t feel, nor would we want to telegraph that externally. So, I expect there will be parts that we will be able to share with you of things, hopefully the clever things that we’ve uncovered and can do, but I think I’m foreshadowing that it won’t be full disclosure.
Mimi Noel - Sidoti & Company:  Sure, okay. And can you say right now you are comfortable with the assumption of sales growth in the second half of the year, organic, excuse me local currency sales growth in the second half, that’s an achievable objective?
Doug Tough : Well, the forecast that we have internally, I think that is a fair assumption. Its looking towards the extreme tail end of the year, it gets a little murkier. We said the quarter has started well and to the degree that’s part of the foundation for our forecast, we fell good about what we do.
Mimi Noel - Sidoti & Company: Okay, I followed. Thank you very much for the extra information.
Operator: There are no further questions at this time.
Doug Tough : Well, thank you all very much for participating today.
Operator: Thank you all for joining today’s conference call. You may now disconnect.